Operator: Good evening. My name is Trisha and I will be your conference operator today. At this time, I would like to welcome everyone to the Universal Corporation Second Quarter Fiscal Year 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Ms. Candace Formacek, Vice President and Treasurer. Ma’am, you may begin the conference
Candace Formacek: Thank you, Trisha, and thank you all for joining us. George Freeman, our Chairman, President and CEO; and David Moore, our Chief Financial Officer are here with me today, and will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone taped replay. It will remain on our website through February 5, 2018. Other than the replay, we have not authorized and disclaim responsibility for any recording, replay or distribution of any transcription of this call. This call is copyrighted and may not be used without our permission. Before I begin to discuss our results, I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future and are representative as of today only. Actual results could differ materially from projected or estimated results and we assume no obligation to update any forward-looking statements. For information on some of the factors that can affect our estimates, I urge you to read our 10-K for the year ended March 31, 2017, as well as our Form 10-Q for the second fiscal quarter of 2018. Such factors include, but are not limited to, customer-mandated timing of shipments, weather conditions, political and economic environment, government regulations, changes in currency, industry consolidation and evolution and changes in market structure or sources. Finally, some of the information I have for you today is based on unaudited allocations and is subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on these measures, including reconciliations to the most comparable GAAP measures, please refer to our current earnings press release. Our results for the six months ended September 30, 2017, were in line with our expectations and reflected slightly higher total sales volumes and lower selling, general and administrative costs. In our second fiscal quarter, we continued to see the benefits of higher current crop sales and processing volumes and lower factory unit costs from the recovery in leaf production volumes this year in Brazil. As expected, the recovery of Brazilian crop levels and some earlier shipment timing in certain regions increased our working capital needs in the first-half of this fiscal year, modestly increasing our seasonal borrowing requirements. This shift, as well as the funds utilized in the fourth fiscal quarter of 2017 to redeem the remaining shares of our preferred stock, reduced our cash reserves to our more typical mid-year seasonal levels. Despite those requirements, we have continued to maintain our strong balance sheet as evidenced by a credit ratings upgrade announced in October 2017 by S&P Global Ratings. Our uncommitted inventories have been prettily managed, remaining within our target range at 14% for the end of the second fiscal quarter. Turning to the detail. Net income for the first-half of fiscal 2018, which ended September 30, 2017 was $29.7 million, $1.16 per diluted share, up about $10 million compared with $19.8 million, $0.54 per diluted share for the same period of the prior fiscal year. Net income for the second fiscal quarter was also higher at $26.2 million, $1.02 per diluted share, compared with net income of $25.3 million, $0.90 per diluted share for the prior year second quarter. Segment operating income improved $11.6 million to $51.8 million for the first-half of fiscal year 2018 and declined by $2.6 million for the quarter ended September 30, 2017, to $45.6 million compared to the same period last year. Consolidated revenues increased by $20.5 million to $772.9 million for the first six months and by $31.3 million to $488.2 million for the quarter ended September 30, 2017 compared to the prior year. Those increases were primarily a result of slightly higher sales volumes and higher processing and other revenues. Looking at the segment detail, operating income for the Other Regions segment improved by $26.3 million to $41.6 million for the first-half of fiscal year 2018, compared to the first-half of the prior fiscal year on a combination of higher sales volumes, processing and other revenues and lower selling, general and administrative expenses, largely from beneficial net foreign currency remeasurement comparisons in Africa. In South America, earnings benefited from the increased sales and processing volumes and better factory unit costs on higher current year crop volumes though total volumes declined slightly, given higher sales of carryover crops in the prior fiscal year period. In Africa, volumes for the first-half of the fiscal year were slightly higher on earlier shipment timing in some origins. Europe region results improved on stronger sales and some earlier shipment timing and a gain on the sale of the formal processing facility in Hungary, while the Asia region also saw an increase in trading volumes in some origins. Segment operating income for the Other Regions segment for the second fiscal quarter also increased up $5.2 million to $37.5 million, compared with the second fiscal quarter last year, mainly on higher sales and processing volumes. North America segment operating income of $10.3 million for the six months and $7.9 million for the quarter ended September 30, 2017 was down by $10.1 million and $5.6 million, respectively, compared with the same periods in the previous year. The declines were driven by lower sales volume shipped during the first-half of fiscal year 2018. Volume comparisons in the United States were primarily impacted by large prior crop carryover sales last year, while offshore origin results were affected by lower volumes from later shipment timing in the current fiscal year and less favorable margins. Those declines were partly mitigated by reduced selling, general and administrative costs, mainly from lower incentive compensation accruals. The Other Tobacco Operations segment operating loss of $0.1 million for the first-half and segment operating income of $0.2 million for the quarter ended September 30, 2017, declined by $4.5 million and $2.2 million, respectively, compared to the same periods last year. In both periods, earnings were lower for the dark tobacco operations, largely due to negative currency remeasurement variances, a value-added tax charge and an unfavorable product mix in Indonesia due to lack of wrapper tobacco availability. Earnings improvements for the Oriental joint venture on increased volumes in both periods were more than offset by declines from delays in the delivery of shipments of Oriental tobaccos into the United States. Selling, general and administrative costs for the segment were higher for both the first-half and second fiscal quarter of fiscal year 2018, principally on negative currency remeasurement variances and a value-added tax charge. Selling, general and administrative costs decreased by $5.6 million in the six months ended September 30, 2017, compared to the six months ended September 30, 2016. The decrease was largely driven by net foreign currency remeasurement and exchange gains in the current fiscal period compared with losses incurred in the prior fiscal year comparable period, mainly in Africa and the Philippines, partially offset by the absence of the reversal in second quarter of fiscal year 2017 of value-added tax reserve. Selling, general and administrative costs were up $7.3 million in the three months ended September 30, 2017, compared to the prior year on the absence of the reversal of value-added tax reserve. Looking forward to the second-half of our current fiscal year, the reduced burley leaf production volumes in Africa will impact our total volumes sold for that region, which mainly ship in the third and fourth fiscal quarters. Less African burley leaf was grown this fiscal year due to excess production and low grower prices in fiscal year 2017 and unfavorable weather conditions this year. Although we still expect our total shipments to be weighted to the second-half of the fiscal year, we currently anticipate modestly lower total lamina sales volumes for fiscal year 2018. We are estimating that this year’s global burley production declines will recover in next year’s crop. Despite supply constraints in certain important origins over the last two fiscal years, we have been pleased with additional business opportunities that we have gained from our customers. We believe that we have increased our market share and that we continue to bring efficiencies to the leaf tobacco supply chain, while meeting our customers’ current and evolving product needs. We also remain focused on providing value to our shareholders. During the first-half of fiscal 2018, we have returned nearly $40 million to our shareholders in dividends and common stock repurchases and are pleased today to have announced an annual dividend increase for the 47th consecutive year. At this time, we are available to take your questions. Trisha?
Operator: [Operator Instructions] And we have a question from Ann Gurkin.
Ann Gurkin: Hi, everyone.
George Freeman: Hey, how are you doing?
Ann Gurkin: Fine. I wanted to just start with your comments about increasing market share. I think, you’re talking about market share in terms of processing leaves for your customers or sourcing the leaves, or is it something else that defines that market share increase statement?
George Freeman: Well, I think it’s – again, our volumes are holding. So it’s mainly lamina sales. But our volumes are holding – are not dropping at the rate of the decline of combustible products.
Ann Gurkin: Are you taking share from other smaller competitors or other competitors?
George Freeman: I’m not sure – I can’t – I couldn’t say where it’s coming from necessarily, but…
Ann Gurkin: Okay.
Candace Formacek: We do feel confident and there are different types of projects and possibilities. And we are always talking with all of our customers and really feel good about where we’re able to maintain our current volumes and the opportunities that we’re seeing.
Ann Gurkin: Okay. And then opportunities, what opportunities are in Universal enterprises like in the value-added space to add businesses? Are there opportunities to make acquisitions, joint ventures, and kind of roll that into after attending Altria’s Investor Day, as they outlined or rolled out a number of new product – potential new products that are more noncombustible like – can we kind of talk about how you could evolve that whole space maybe to parallel and mirror where your customers seem to be investing in innovations?
Candace Formacek: Well, I’ll start, Ann, just to say that, I think, this question is sort of the one that continues to roll around for us.
Ann Gurkin: Correct.
Candace Formacek: We’re certainly involved with our customers on their future generation product requirements. All of these are in various states of development. We are experts in leaf. And as those are elements in many of these products, those are certainly discussions that we are having on an ongoing basis with them, and that involvement is something that we certainly expect. At this point, it’s not – there is not anything specific that we would be able to discuss on this call. But those are certainly elements of what these conversations are that we are having with them going forward.
Ann Gurkin: Are you actively looking at opportunities for joint ventures or to make acquisitions, or can you comment on that?
Candace Formacek: I cannot comment on that. Yes.
George Freeman: We cannot comment, yes..
Ann Gurkin: Okay. And lastly, for the share repurchase announcement – yes, go ahead.
George Freeman: No, just go ahead.
Ann Gurkin: Go ahead, George. Sorry, I cut you off.
George Freeman: No, it’s okay. I will leave it to Candace.
Candace Formacek: Yes, sorry. I was just saying, when…
Ann Gurkin: Okay.
Candace Formacek: When we are able – as you know, we usually don’t talk about these types of opportunities until it’s – we are able to discuss it publicly. And so you’ll hear as well as everyone.
Ann Gurkin: Okay. And then congrats on the announcement about the share repurchase program, and what gives you the confidence right now to announce that program?
Candace Formacek: Well, Ann, we typically keep an open program. It’s one that is approved by our Board and it’s part of our normal procedure to make sure that we have an allocation available for those opportunities. We do focus heavily on the dividends as the primary way to reward our shareholders. But from time to time, we like to make sure that we take advantage of opportunistic periods where we might be able to make those share repurchases and our program gives us the availability to do that.
Ann Gurkin: Great. And then, not to leave David out, but how about – I enjoyed all the commentary about the tax rate in the press release. So the tax rate for the full-year is still 34% to 35%?
David Moore: Yes, I would probably make it, maybe 33% to 34% this year.
Ann Gurkin: Okay.
David Moore: We have three items in the first six months that produced the benefit of about $2 million. And that’s what drove the six-month breakdown to about 30%. But as that gets diluted as we make money in the second-half, it’s probably going to rise up. But I would – I mean, with that regard of the future tax code, I would still think 34%, 34.5% is probably a good long-term rate.
Ann Gurkin: Great. And then can you give me any help with the SG&A for the year?
Candace Formacek: Well, Ann, we try to just focus on the areas, SG&A was improved, but there were some offsetting variances last year. And depending upon currency and other items, I would see that being in a fairly stable position though we always continue to work to improve our cost basis wherever we can.
Ann Gurkin: Great. And then are there any updates for worldwide uncommitted leaf inventories, Candace?
Candace Formacek: The ones that we have for you still is as of 6/30 and that’s 87 million kilos, yes.
Ann Gurkin: Great. Thank you all very much.
George Freeman: Thank you, Ann.
Candace Formacek: Thank you, Ann.
David Moore: Thank you.
Operator: Thank you. [Operator Instructions] We now have a question from Steve Marascia from Capitol Securities.
Steven Marascia: Good afternoon, everybody, and congrats on a good quarter.
Candace Formacek: Thank you.
George Freeman: Thank you.
David Moore: Thank you.
Steven Marascia: Two questions. One on one kind of dove tailing with Ann’s question about SG&A, which do you think would be the most important component of SG&A determining whether you guys maintain current levels going forward, or if it increases or decreases for the next 12 months, or four quarters, I should say?
Candace Formacek: Well, Steve, these are always difficult to predict. But I would say that typically you will see most frequently currency remeasurement gains and losses having an effect for us. There are a lot of drivers of that. Many of them are noncash in nature and those are typically able to be seen in our cash flows. We do – it’s always helpful if you’re looking at a comparison for a quarter or for a period to date to take a look at what happened in the prior year, because often we’re facing a balance of whether we are up or down based on what might have happened in the prior period.
Steven Marascia: Is that traditionally the highest component or what causes the variability in your SG&A results?
Candace Formacek: Well, when there is a large swing, that is often one of the reasons. I would not say that that’s necessarily the main component. But we do see – most of the variances we end up referencing tend to be chunky items that may or may not be repeated in the future and are hard to predict.
David Moore: Yes, the one that’s most volatile on the variance.
Steven Marascia: Okay.
David Moore: The one that’s very difficult to predict.
Steven Marascia: Sure. Yes, absolutely. And then final question, I don’t know if you can touch upon this. Looking at what the proposed tax bill is right as it stands now, have you guys – are you guys putting any comments about how might it affect you?
David Moore: We would hope to tell us. I mean, these days, you never really know what they are going to pay us, what they are going to change. And to be quite frank with you, on this go around, we’ve been immersed in the quarter and reported.
George Freeman: Right.
David Moore: We really haven’t had a chance to look at the latest though. And the latest, it seems every day somebody comes out with something that’s different that wasn’t in the previous thing. So we’ve not really had the time to analyze it.
Steven Marascia: But overall and if they do drop the corporate rate down to either 27% or 20%, I’m guessing, that would be a net benefit for you guys?
David Moore: I more than would hope so.
Steven Marascia: Okay. All right. Thank you very much.
David Moore: Thank you.
George Freeman: Thank you.
Operator: [Operator Instructions] And it appears there are no further questions.
Candace Formacek: Great. Thank you, Trisha, and thank you all for joining us on our call today. Have a good evening.
George Freeman: Have a nice evening.